Operator: Good afternoon ladies and gentlemen and welcome to today's Fiat 2007 Third Quarter Results Conference Call. For your information, today's conference is being recorded. At this time, I would like to turn the call over to Marco Auriemma of the Fiat Investor Relations team. Mr. Auriemma, please go ahead sir.
Marco Auriemma - Vice President of Investor Relations: Thank you, Elian. Good afternoon to everyone and welcome to Fiat's third quarter 2007 results webcast and conference call. As usual, Sergio Marchionne, our Chief Executive and Maurizio Francescatti, our Group Treasurer will also come. All material that will be used today has been posted on our website. After introductory remarks, we will be ready to answer your questions. Before moving ahead, I would remind you as usual that any forward-looking statements we might make during the call is subject to the risks and conditions mentioned in the Form 20-F which we filed with the SEC. And now I will turn the call over to Sergio Marchionne.
Sergio Marchionne - Chief Executive Officer: Good afternoon, and apologies for the slight delay, we were making our way back for Maranello where we had the Board meeting this afternoon... this morning. You've seen the numbers in the press release. I think we are relatively satisfied that we've had in the sequential quarters of 2004, certainly an outstanding quarter. We were able to grow top line by 17.4%. All the major sectors were up more than 15% quarter-over-quarter and especially CNH which as a result translation issues, was actually up 31% in U.S. dollar term side. We feel comfortable we've been able to grow all the major businesses in a relatively healthy way across all geographical regions. I will get more into details as we go through the structure of the spending side where we see the weakness of the markets. Trading profit was up 35% compared to Q3 '06. We are now 5.4% trading margin which is well above the trading range that we indicated for 2007. Fiat Group Automobiles more than tripled, to result to €185 million, CNH was up 64%, Iveco 22 and components were up 46%. So we've had significant earnings growth across all the businesses. Net income is up 130% to €454 million, and then industrial debt number with some of you expected to be slightly lower than this, it's coming at €1.4 billion, all of this is largely attributable to seasonal working capital build and will reverse in Q4. And therefore it's allowing us to raise our year-end projection to about €0.5 billion in net debt, trading profit of roughly €2.9 billion to €3 billion, and net income between €1.8 billion and €1.9 billion. We've had, as I said a good operational quarter. All of our launches as you can see on page three, they are the main launches that were carried out. We feel we're touching the top. The success of the Stralis in heavy end of the market and for Iveco and the launch of Puma tractor for Case IH which follows the introduction of the New Holland T7000 tractor that happened in the prior quarter. These are all things that were significant in terms of the repositioning of the brand. Notwithstanding the significant pressure that we are experiencing of raw material price hikes, we've have been able to contain the impact of this on our product cost, effectively for the quarter. We've had a net saving quarter-over-quarter. We... the world class manufacturing initiative continues to be rolled out with our two plants. And the other two main sectors, Iveco and CNH which have now been enrolled in the program, we expect them to be fully rolled out within 2009-2010 across the whole Fiat organization. We did sign two new alliances, MoU with Chery, to reposition the Fiat and the Alfa Romeo brand in the Chinese market, and Magneti Marelli signed an agreement which effectively followed the agreement that we signed with Chery. We did finalize a 50-50 joint venture with Severstal in Russia that includes the ownership of both the manufacturing and commercial distribution of Fiat, commercial vehicle and passenger vehicle side of the business. On slide 4, just graphically points out the quarter-over-quarter growth. Q3 has been the most significant in terms of the growth pattern for the first nine months of this year. And if you turn now to slight five, you can see that all factors again have contributed to the profit improvements quarter-over-quarter, the biggest driver of this for the quarter has been obviously... continues to be the car side which is well on its recovery path. CNH contributed €88 million to the improvement and Iveco on the composite business did their share. Just to deal with the issue of raw material price hikes and the impact on a product cost. And we'll deal with the quarter and then I'll forecast for the year. Just for the year, we are expecting more than €400 million in raw material price hikes and product cost increases all of which should be an offset by commercial and technical savings of about €700 million. But for the year, we expect to post roughly €300 million improvement over '06, for the quarter itself, it's been about €50 million. Turning on to slide 6, which deals with Fiat Group Automobiles. The highest Q3 volume in a decade, passenger cars were up 17%, net commercial vehicles, 26. The Brazilian market continues to look like strongly, with level of 168,000 cars for the quarter which was up 34% over the prior year. So we've had in terms of volumes... we've had a very good quarter. We move on to slide 7 to the profit reconciliation, all of this has translated itself with green bar you see on the chart in which effectively impact all categories, volume, price and mix as I made reference to earlier the purchasing savings of €35 million of the total 60 for the Group. The impact of increased volumes on fixed cost and manufacturing overall was €34 million and we continue to invest significant amount of money in terms of selling expenses especially the launch of the 3% [ph] which has been relatively expensive endeavor. But there is a number that will continue to show in our view, probably has been... numbers surely of this caliber for any quarter but it will reflect a significant overspend which is part of the repositioning of the brands that we are carrying out. As you move on to slide 8, you can see what's happened in terms of market share. We're are at 30.9% for Q3, and entering in about 7.4% for the Western European market. This is for the quarter and year-to-date, we're about 8% in terms of Western Europe and reflects our commitment to achieve a level of roughly 8% for the year. I made reference to Brazil; Brazil continues a very strong performance that started last year. It's probably been having them back to the historical records, but it must be one of the highest quarters in its history. It has now undisputed market leadership in the Brazilian market of roughly 26% and it's probably consistent, we've been able to do in the right commercial vehicles with a market share of roughly 27%. Just to clear up on the issue of the Western, the car operations ex-Brazil are still earnings and cash positive notwithstanding absorption of working capital in Q3 which obviously has thrown the calculations into a negative number for the quarter, but it is falling in line with seasonal expectations. We continue to work very hard and very diligently at rebuilding the dealer network in Europe. We've done more than 210 new man days in the first nine months of this year. We adopted the employment for long distance Q3. We have got 20 outlets now as an example in the Paris area probably which are company owned. And we continue to focus our efforts on strategic cities across Europe, to try and rebuild the strength of European network to allow us to achieve the double digit margins that we set for 2007 for the car side. The Alfa brand has taken off well. We've got 32 showrooms opened in the Italian area and met with some initial reaction for the introduction of the sports brands are quite good. Along with the commitment that we have made to rebuilding the network we have also seen some positive signs at dealer levels from the increased volumes that are coming from the dealerships. The top 25% of our dealerships now are shooting about 2.5% EBIT margin which are probably best-in-class margins for the kind of our business we're carry on. Slide 9. We feel... certainly the most recent launch of the Punto chain goes on well. We've got orders over 90000 orders and we just opened the German, Belgium and the Swiss market. The 90,000 orders we said fundamentally to drive out of Italy and France. We've got 24,000 units that would have been sold September year-to-date but the fact continues to be very strong demand. And we have now planned a capacity increase that will take off in 2009 up to about 190,000 vehicles. We will turn that capacity on if and when required. We found ways to evolve make-up plans and follow-on to get that done. We feel relatively comfortable that we will be able to respond quickly to market demand. The Punto car which was launched in 2005, we continue to hold the commitment to 360,000 vehicles for the year. We've introduced premiere version the 120 horsepower gas engine plus we have a version which was sold into France with other terms. And on slide 10 which deals with the other two cars that were launched this year, the Bravo continues to perform well in Italy in line with expectations. We've had a weaker than expected response from the rest of the European market, most of which I think have been driven by the fact that we did not have the right engines in the car at the time of launch. We have corrected that now with the introduction of the 1.4 T-Jet engine which comes in two versions, 120 and 150 horsepower version. The car is being reworked and remarketed in the European markets and we are confident we will be able to achieve a full year number of 120,000 which was built in to represent you [ph] and in terms of investment. And that will make the '08 target of 120,000 going forward. Linea has done well, launched in Turkey in Q2 of 2007 and it continues to progress well and certainly in line with the 27,000 objective for the full year. On slide 11, I think the one thing that we continue to work on and especially in view of the continued pressure that has been put on this industry as a result of the pending introduction of CO2 limits. In Europe we've shown this car at the Frankfurt auto show. This is an indication of type of combination of technologies that we can apply to vehicles to this car with over 69 grams of CO2 gram per kilometer. And there are a number of things that we have now initiated within the group that will allow to us accomplish two things. One is to make... will allow us to achieve the 2004 targets whatever they may be. We have been said by Brussels and certainly the other commitment that we made is that by the same date we will have a fleet of cars that will exhibit the lowest fuel to emission per kilometer standard of any other European company. We feel comfortable we have the technology in hand to accomplish this, and it's always been my view. It really is view which is reflected also at the sale levels, there is not a single solution for the situation. But we must allow the automotive industry to try and apply any one of the tools or the combination of those tools to try and achieve... to achieve the reduction. Slide 12, which deals with our luxury car brand. There is really not much to add. The Ferrari continues to do well with significant volume growth and margin expansion. Maserati has had the second consecutive quarter of earnings. We do expect the year to be closing the brand [ph] and therefore to have permanently reversed the history of losses that have been plaguing this business certainly since we acquired in 1993. Turning now to slide 13. It's a boast of slide but obviously we won the F1 championship on Sunday, both the constructors and the drivers series have been done now for the 15th time and that's something that obviously is going to impact well on the reputation and the marketability of the Ferrari brand. Slide 14 which deals with agri, construction equipment, significant quarter-over-quarter growth. This is notwithstanding a very sluggish construction equipment market in Q3 which is a continuation of the trend that we've seen for the whole of '07. We have been able to remedy that shortfall by significant growth in Latin America and Europe. The more important thing is that we have been able to expand margins from 5.9% to 8% for the quarter and we are confirming a commitment to deliver a margin between 8.9% and 9.7% for the full year. Turning to slide 15, you can see the most of the improvement of earnings that come from volume of mix with price having very little impact on the results for the quarter. And we continue to spend I think on research and development as we keep on firming up the product portfolio for the core brand that we are managing. One positive thing is the all the work that we have done on quality inside the CNH for the last six, seven quarters have begun to pay off. Warranty costs have significantly become down, a trend that we expect will continue certainly for 2007 and for 2008. Slide 16 which deals with our market share positioning, I think the important thing is to realize is that we have grown share. We have reversed what had been going on after 2005 as sort of a gradual erosion of market share in both construction equipment and then we have been able to recall from a big chunk of that market share loss, throughout the whole of 2007 during this quarter. We expect year to continue strong, I think the fourth quarter is going to be especially strong on the hindsight. And all of this is driven from very strong commodity prices in the agricultural business which is driving up demand for large equipment. And I think we are well positioned both in terms of our production synergies and in terms of our market coverage, the prime benefits from all of this because the bio-fuel is something which is impacting all geographical regions. We have seen the impact of all this especially in North America and in Latin America. There's a slide on page 17 which shows the last introduction in terms of tractors. This is the Puma tractor which has been going on as I said earlier. There is the tier 3 [ph] introduction of T-7000 tractor for the New Holland brand. Significant improvement in both quality and our ability of the tractor which has been one of the big issues that has impacted this class of range or this range of horsepower of tractors. Slide 18, which deals with, I mean again probably the other brake side, it is the best Q3 in CNH history. And it's allowed us to raise guidance under the U.S. GAAP conditions but it allowed us to raise guidance up to 2.55 to 2.60 a share. And we could see the sequential trend of earnings improvement which started in 2006 offside and continues well into 2007. On slide 19, trucks have had a good quarter certainly in terms of volumes. We have been able to... continue to succeed in repositioning the heavy end of the product portfolio in Europe. We've got 10.5% market share which reflects the combination of things which is driven by a slight decrease in the light segment all of which has been created by a desire on our part to retain margins on pricing. We have been able to bring the growth share in both the medium and the heavy segment. We're up in terms of selling cost at 22% for the quarter. We are now at 7.1% margin. When you look at slide 20, you see the reconciliation of our profit growth. Most of this comes out of volume and mix and we have chewed up some of these benefits as a result of the efforts that we're now applying for the internationalization of the vehicle, especially the efforts that are going on in China in terms of the joint ventures that we have set up which are requiring substantial amounts of commitment, as you know recourses and other costs to get them up and started. You look at slide 21. As I said earlier, the repositioning of the brand continues. I think the association of the vehicle with the New Zealand All Blacks have withdrawn and retained their loss of the world championship in rugby. But we do have what we consider to be a very competitive product offering at the heavy end. And so we are beginning to see the benefit of the efforts that were started in the latter part of 2006 that allowed us to successfully launch the Stralis in January of 2007. We continue to work on the quality of the network. We've done a substantial restructuring on the UK side, and we've begun the task of repositioning the brand in Latin America starting at our Brazilian operations which have been neglected for a long period of time, of the vehicle which should be given new leadership. In other words, we expected to see a significant improvement in terms of performance. I will skip over slide 22 which deals with what has been launched in 2007 for the vehicle and deal with the components side on the powertrain. You see powertrain technology these are engines in transmission business. The performance in business in Q3 of '07 has confirmed the wisdom of the separation of the business from the rest of the activities. They have been able to drive a significant amount of costs out of the organization and bring down unit cost as you can see from the €32 million that we recorded in 2006 with €63 million in 2007, the largest portion of that improvement comes out of a reduction in product cost. This is probably due to volumes but it's also being driven by almost a maniacal tendency on the part of a strategic drive costs out of the business that reduces the cost. Under the agreements that we have with the other sectors within the group, part of that saving is being passed on to the rest of the Fiat Group. And as you can see that have restructured in the €18 million price reduction that has been completed. The rest of Fiat, the bulk of the saving has been retained by FPT and we have nearly doubled operating profits quarter-over-quarter. Components on slide 24. There's really nothing to say about this other than the fact that Comau has now turned the corner. We posted a positive number, building in line with the re-structuring and reshaping efforts that we apply to this business back at the end of 2006 and the early part of 2007. Move on to slide 25 which deals with the reconciliation from trading profit and for net, you can see from the note explaining the movement in net financial charges and the fact that the MUs allied in completing the €180 million gain from the sales on the banker states have been offset by restructuring charges mainly CNH and other one-off expenses, some of which related probably in the final stage of the rationalization of the supplier parts, especially the strategic suppliers have put investability of our business that works. So, I think we probably finished during... most of this restructuring and maybe one more business that we need to deal with, which is not going to be of significant size but most of it is in shaping and restructuring of that piece of the business has been done. I am going to try and deal with slide 26 which deals with cash flow and then get Maurizio if he wants to do it. I think we've had a good quarter before CapEx. We delivered about €200 million worth of cash flow for the year. That number is about €2.5 billion. It is the performance of the cash flow statement. It's totally in line with our expectations. And it is reflective of the working capital build that we experienced in Q3. All of the working capital builds will be reversed and more within Q4, and therefore we are confirming a commitment to bring that level on the industrial side to roughly €0.5 billion for the year. Slide 27 which deals with guidance. We are revising guidance up to €2.9 billion to €3 billion in trading profits and net between €1.8 billion and €1.9 billion. I mentioned a debt target and I think that for the time being we're confirming 2008 target. I think we'll wait for the completion of '07 to get a much better read of market conditions before we cast these objectives. We are confirming them. We're trying and being engaged and have no intention on our part to try and revise them downwards. But we will look at them again at the conclusion of '07 and give you a more informed view as to where we've seen them going. That pretty well concludes the presentation. I think that we're ready to take questions.
Marco Auriemma - Vice President of Investor Relations: Thank you, Mr. Marchionne. Now we are ready to start our Q&A session. Elaine, please repeat the first question please. Question And Answer
Operator: Thank you. Ladies and gentlemen, today's question and answer session will be conducted electronically. [Operator Instructions]. Our first question today comes from Massimo Vecchio of Mediobanca. Please go ahead.
Massimo Vecchio - Mediobanca Securities: Good afternoon to everybody. I have a question on Fiat Auto. The third quarter was very strong because in euro million and also in percentage terms was in line with the second quarter. I don't remember anything like that usually this time per quarter is much slower. I was trying to understand as to what's starting this changing this seasonality. For instance, I see that in the third quarter you delivered more cars than you registered. Can you set the first quarter which is this time not much better third quarter or even in line with that? Thank you.
Sergio Marchionne - Chief Executive Officer: I'm not sure you missed what's in terms of seasonality. I think that there are a couple of reasons. One I think that the Brazil continues to perform quite strongly. I think it's impacted on the absolute value of the reported Q3 trading profit number. I think that we continue to face... and I'll make it as a general comment, but I think we continue to face and probably the competitive market is what's being entered on the car side. I think that we need to see how the quarter shakes up. I think that we are seeing, notwithstanding this incredible demand that we're seeing for the super chain that is something which does not apply to the whole range of the Fiat Group automobiles vehicles. I think that we need to be very careful in how we manage share and the positioning of these businesses in Q4. And I think that if you were to use the Q3 numbers indicative of Q4 performance I think it's quite safe but I think you need to see the conclusion. And that is very difficult to predict and therefore I am not moving... giving guidance on the sector, on the sector itself until the conclusion of the year. Overall I think that we feel comfortable if the group can deliver a €2.9 billion to €3 billion. I think it's evident from the fact that we've been able to accomplish almost €2.3 billion in the first nine months of this year. So, the caliber of delivery of trading profit at group levels is going to be certainly in excess of the Q3 number. And therefore I think we need to be realistic as to what the group will deliver and therefore the €3 billion number is within range. I continue to be particularly concerned about the level of competitiveness in the European side. I think we need to manage the position carefully on the car side.
Massimo Vecchio - Mediobanca Securities: Thank you very much.
Operator: Thank you. We will take our next question from Max Warburton of UBS. Please go ahead.
Max Warburton - UBS: Yes, hi. Good afternoon. Three questions if you don't mind. First one just on CNH, in terms of markdown, your Q2 when the margin in construction equipment was particularly problematic you actually said that was the bottom. And true to your word, Q3 has shown a big improvement in construction of CNH despite obviously ongoing issues at stake. Could you just give your view on how that business is developing? It seems sort of non-U.S. revenue growth is more than compensating for North American troubles. Are pretty comfortable with that, will continue and actually even get better as you go forward? That's question one. Question two, just on Iveco. If we look at the revenue development, it's been phenomenal this year, far in excess of the original guidance but the margin is coming in at the bottom end of the. Could you just help us understand a bit better why there seems to be so little operating leverage in our way town [ph] whether maybe this is potential for that to improve into next year? And then just final question really thinking about '08 I think you said to some reports earlier today that '08 was not a difficult year. But could you give us a feel for in which of the three main businesses for the biggest risk line? Based in your comments just now sounds like auto in Europe is bit of a concern but could you give a more specific on kind of the level of difficulty in each of the three main businesses versus the target in '08? Thanks.
Sergio Marchionne - Chief Executive Officer: Let me sort of... I can't give an exhaustive answer on the construction plan or anything regard to that. We've seen the biggest competitor in this industry report earnings last week and in fact, they downgrade their estimate for '07 on the basis of continued weakness in the construction market in the U.S. And I think it's reflective of the fundamental structural slowdown of the industry in the U.S. market which has been driven by housing starts all of which have got, in fact the soft and cushion about the checking on behind the quarter was connected to sub-prime where we've started earlier. Actually things of the current... the current in this industry will visible before having the sub-prime issues did not help. And I think we are going through a bottoming out process in this market which will not finish until well into 2008. And I am not at all hopeful that 2008 will show a significant recovery against the sell-off [ph]. I think we are going to continue to see a declining market throughout '07. I think that we'll see volumes down 10% to 15% year-over-year and there's some view that it might even be as high as 20. And I... my internal view is that the U.S. market will be down again in 2008 obviously as far as your comment was in an amount is 15% to 20% but it will be down in '07. I certainly hope on long on this issue but the indications are not helpful. One of the things that happened as a result of the unbundling of the brands that we carried out in 2005 is that we effectively liberated the construction equipment, brand Case New Holland and Iveco to try and deal with their own destiny in a marketplace which is much bigger than North American market. But the changes of leadership that we have made and by refocusing our efforts on non-U.S. markets we have been able to grow significant share in Latin America which continues to show foreign market condition. We have been able to reposition these brands in Europe and correct what I compared to be as structural problem in the construction equipment side, beneath for a long period of time. This is a now profitable in Europe which has been a significant turnaround from what we found in 2004. And we continue to seek opportunities in what is considered to be non-traditional trading areas such as Eastern Europe, Russia, the Eastern Block and Africa and Middle East and I think that we continue. I think the big challenge for these businesses in 2008 is to continue to expansion and the penetration on these markets to offset the weakness of U.S. side. We are industrializing even in terms of 2008 performance where I am expecting an improvement of '08 to '07 most of which is going to be on the back of volume which is non... which is not with U.S. side. On the Iveco side I am as disappointed as you are in a sense but the fact that we were enabled to turn on operating leverage higher than we did and we ended up with margins which are in line with the prior year. Notwithstanding the fact that factor volume increases. It's been achieved with the caliber that we've achieved. It is an issue that we are looking at, I think that we are paying the price for this ramp up in production and there have been undoubtedly manufacturing inefficiencies some of which are supplier related which has caused the bump up in cost for the units produced, which have depressed margins. I don't think that this is indicative of the earnings potential of this business going forward. I think that we have set targets which are close to double digits for 2010. I think we do intend to achieve those by the period of time and I think we do need to carry out exactly the same type of work that we've carried out in CNH and that was started at the end 2005, only vehicle to try and unleash the earnings potential of the business. In terms of '08, I am assuming businesses... it's been reported that I suggest that the '08 was a slam dunk. It is a misread. I never suggested that it was going to be certainly a walk on the path but let me try to get to the pieces right. I expect the Ag business needs to continue to be strong and continue to be significant demand for heavy equipment in both in tractors and the combined. And this is going to continue even in the North America market as long as mark-to-market prices. We are seeing not let up in terms of the commitment that have been made to the bio-fuel industry. Certainly in Latin America, there is an issue which is being pursued aggressively and strategically from the government that we do see significant opportunities for volume both on the back of industry growth and market share gains. India has market across all saving regions. The structure as I mentioned earlier is going to do well, and those thing, the weakness in the U.S. side. Iveco is looking at a strong year in 2008. I think that even the volume growth that we have experienced this year and that was not probably to be expected. We are in terms top line numbers we are pleased with what we are seeing. I think we need to see much more of this turning soft into margin generation. And so my expectation as always will reflect a moderate top-line growth and a significant move forward in terms of margin progression for Iveco. The car side is a more difficult issue. I think that I continue to be absolutely comfortable with the state of the industry in Latin America, especially in Brazil. I think we will see continued strength in that market and operating numbers refer in line with '07. I think that we are facing a tough battle in Europe and not because of any structural weakness in automobile but because of the intensity of competition in this market. It's been traditionally a very competitive market. As long as we continue to see a flat demand in Europe, I think we're going to see increased competition. I think we need to ready and to become much more efficient in terms of the positioning of the brand and then move forward in terms of the achievement of higher market share in Europe. Having said all this, I think that the '08 targets that we've put forward are achievable based on what we know today. And we'll be incredibly reckless in our part to find move those numbers in October of '07, even before '07 has been completed. I think we need to take a look at the completion of the year and reaffirm our readings of the various markets in which we operate before we try to moving forward.
Max Warburton - UBS: That's great. Can I just ask one very quick follow-on question on Auto. Did you... what is your special view on the Italian market next year, which is obviously the critical one? And I think the incentives that the Italian government has provided your view on those in '08. My follow-on question. Thanks.
Sergio Marchionne - Chief Executive Officer: I think that it is our view that we have no indication to suggest that the incentives that have been provided in terms of renewals of the fleet in '08, to the best of our knowledge they would expire. I expect that within Q1 of '08. And I don't think that our projections are hinging on the continuation of the fleet renewal initiative, already got government signed. We have met to build the network over the last two or three days and I think that we feel relatively comfortable that we have the product portfolio to try and deal with maintenance of our markets... our market share at or around 30% on the Italian side. The real issue for us is how well we execute. I think it's on the repositioning of the brands outside of Italy which is a strong market. And that's the issue that really remain the unaccomplished objective at the end of '07 because notwithstanding on our investment, I mean you can see indecisive, we would hope it's 200 in Q, we've signed a 200 new mandate. On the car side in '09, for the first nine months, we have not been able to see a significant ramp up in terms of market share gains in the rest of Europe. So, we need to continue to work on this, some of those mandates and obviously are replacing those suboptimal representations that we have had up right, outside of Italy but I... it continues to be our work in process, that's probably the most difficult objective that we have going forward but I feel comfortable that we will be able to make the numbers.
Max Warburton - UBS: Right. Thank you.
Operator: Thank you. We take our next question from Martino De Ambroggi of Uyo... Euromobiliare. Please go ahead.
Martino De Ambroggi - Euromobiliare: Yes, good afternoon and good morning everybody. My question is a general question on the buyback because we saw a certain stock of your buyback given as the market price was below the €21 per share you paid for the stock you purchased. So just to try to understand what's the reason of your stock offer and what's your projection for the buyback for the rest of the year, considering that we feel much help in the beginning that €1.4 billion for that been spent in the current year. And the second question is on the Latin America contribution on your upwards revision estimates. I know you don't like to give us the contribution for Brazil and Latin America on a head to divisional level. But I'll try to get on that consolidated figures I guess 70% to 80% of the revision is due to Latin America contribution.
Sergio Marchionne - Chief Executive Officer: Just... let me deal with your last question first. Your reference to the Brazilian operation is only in terms of the car side. The answer is not. It is not 70% or 80% for the upward revision in the group estimate. It does account for a chunk that is low, well below 50% of the revision.
Martino De Ambroggi - Euromobiliare: Okay.
Sergio Marchionne - Chief Executive Officer: That's the first issue. The second item is that in terms of the buyback, and I am not trying to avoid your question. But you need understand clearly there are... I have never discussed what our buyback strategy is nor have I ever discussed the timing of the execution of that strategy because you and I, on this issue are not on the same page. I have different objectives than you do. And therefore advertising timing and the manner and the strategy of execution of our buyback is incredibly unwise. I am just fueling positions on people that currently hold this part of hindsight in response for the part of Fiat. And Fiat will not respond. Fiat will do whatever he think is appropriate. And therefore to your question about why I did not execute below 21, is something I can't answer. I mean there's only two options. Other I predicted what levels we should be buying back or follow suit for the switch.
Martino De Ambroggi - Euromobiliare: Okay, great.
Sergio Marchionne - Chief Executive Officer: And the second option is clearly unlikely.
Martino De Ambroggi - Euromobiliare: Okay. If I may follow up on the net purchasing savings that you had mentioned concerning raw materials. Could you quantify it?
Sergio Marchionne - Chief Executive Officer: Yes. Gross savings are about €700 million. We've had raw materials price hike of about €400 million for the year, net, net we'll be saving about 300.
Martino De Ambroggi - Euromobiliare: How much in the first nine months?
Sergio Marchionne - Chief Executive Officer: Ican give you about €240 million.
Martino De Ambroggi - Euromobiliare: 240. Thank you.
Sergio Marchionne - Chief Executive Officer:
Net:
Martino De Ambroggi - Euromobiliare: Yes.
Sergio Marchionne - Chief Executive Officer: Net of raw material price hike.
Martino De Ambroggi - Euromobiliare: Thank you.
Sergio Marchionne - Chief Executive Officer: But that's in the forecast. Before you go out there, then you add it on to the forecast, it's in the forecast.
Martino De Ambroggi - Euromobiliare: Yes.
Sergio Marchionne - Chief Executive Officer: Thank you.
Martino De Ambroggi - Euromobiliare: Thank you.
Operator: Thank you. We'll now take our next question from Adam Jonas of Morgan Stanley. Please go ahead.
Adam Jonas - Morgan Stanley & Co. International Ltd.: Hi thanks. Good evening, Adam Jonas from Morgan Stanley. First I would like to congratulate on the Constructors Championship, well done.
Sergio Marchionne - Chief Executive Officer: Thank you. And on the numbers.
Adam Jonas - Morgan Stanley & Co. International Ltd.: Sure yes, well we are used to that now too. On the capacity utilization, a question on Fiat Auto, now for memories and I can reference your materials that you've given us over the years. But your utilization at least in Europe was well kind of well even to the sixties. Your global volume is up about a third in just two years, can you give us an update on where your utilization is roughly, roughly within your Western European plans for Pan-Europe? However you would like to answer the question, and perhaps globally just so we can get a sense of kind of how hard you're running, because growing... well certainly you've grown a hell of a lot faster than even Toyota over the same timeframe. I believe you've been the fastest growing major car company in the world so an update I think would be in order. And then a question on the Russian side. You've obviously had a lot of activity in terms of the MOUs or MOUs for MOU or the joint venture formation with Severstal now you are obviously further along in the ladder. And you start producing on them Q1 of this coming year. But can you give us just a bit more perspective of how the two partners match up with each other in terms of volume, timing and type of product or anything else you think is worth elaborating a little on? So forgive me but the detail that at least you had in the brief press release is just kind of begs a bit more elaboration. If you're able to do that that would be great. Thanks.
Sergio Marchionne - Chief Executive Officer: Let's start frankly, Brazilian plant 100% manpower and physical plant utilization, and the Argentinian plant zero for 2007 looks in a ramp up as we increase production in Latin America. And we will bring it into full utilization of the plant within 2009. In terms of the European side, let's assume that the 60% number that we are talking about is correct. Manpower utilization is roughly 100% in terms of both permanent and temporary employees. In terms of physical capacities to produce we are probably one year anywhere between 73% and 75% of physical capacity utilization. I'm talking about the Western European plants exclusive of Poland. Poland is running at 100% utilization physical and manpower. The other question you've asked me in terms of the Russian front. The reason why we were, and I accept your evaluation of the press release as being somewhat general. The intent with Severstal was to create a very specific joint venture for the positioning of the Fiat and Fiat professional brands in Russia. And so, we are now 50% partners with them and we're going to develop the Fiat brand as we know it and understand it today in the Russian market. The agreement that we signed with Severstal is a much wider type of agreement that deals with Fiat Group providing engineering and technical support for the development of lot of us. And it is for any other possible area for operation. It does not imply that the Fiat brand will be at all utilized by Severstal, it does imply that potentially. Last point, the currency existed in FGA or Fiat Group Automobiles could be shared with AUTOVAZ. It does imply that we will be in a position to provide them with engineering help on the development side of the vehicles. It does suggest that we can provide engine know-how end engine to AUTOVAZ to try and develop their business. And therefore these two deals are not at all conflicting. They're complementary to the position with Fiat. One deals with our own brand which is Fiat. The other one deals with the association of our technical expertise, engine know-how transmission, and potentially platform sharing with another partner in Russia. They are going to be a viable player in Russia anyhow. And I think we have taken the opportunity to try and run with AUTOVAZ that it was back to perhaps for the historical root for the association of Fiat and perhaps it does go back and reestablish a dimension that has existed for a long period of time. And we feel comfortable about we will be able to benefit from what we got to offer and to help us along in this alliance strategy of which is a single objective that are bringing down the capital cost commitment for the development of our car business. And so we do see them as being quite complementary in terms of development of the Russia market. And it is the market which certainly as a result of the assessment that we carried out in the last quarter to 18 months was probably one of the most promising markets that Fiat Group as a whole is looking at it in terms of development going forward.
Adam Jonas - Morgan Stanley & Co. International Ltd.: Right. Thanks very much.
Sergio Marchionne - Chief Executive Officer: You're welcome.
Operator: Thank you. We will take our next question today from Paolo Mosole of Intermonte. Please go ahead.
Paolo Mosole - Intermonte SIM: Good afternoon to everybody. I have three questions if I can. The first one is on Iveco. You mentioned that it's not the charge in the HAV [ph] gained more than 3, up in terms of sales. I remember that you said in a call about one year ago that the Iveco has the capacity... of stretch capacity of 300,000 units per year. So I'm wondering whether you are short of capacity going forward first of all? And second question is on the 3% I would like to know whether the 190,000 unit target for 2008 and 2009 speaks with the 158,000 unit potential upgrade in 2008 and the third question is on the guidance which on the trading profit implied trading profit in Q4, which would be in line or even lower than Q3 trading profit. I am wondering why that and because I assume that 3% will have a higher impact in the Q4, as well as the Brazilian market, which can push you, seasonally higher in Q4. Are there other elements in Q4 apart from that?
Sergio Marchionne - Chief Executive Officer: Just in terms of what the issue that we are facing some manufacturing volume mix and supplier volume mix in terms of the potential to expand our Iveco business going forward. I think that we are not concerned about but I think being realistic about what '08 can possibly deliver in terms of top line growth especially as a result of the significant rise in volumes that we've seen in Iveco in 2007. I think our primary objective in Iveco is to improve the margin generation from the business. It is an issue which especially in view of Q3 performance address, quickly. We have not been able to penetrate I think fully, from the ramp up to launch. In terms of the 500 I think there is going to be a gradual volume mix in our capacity between now and going January 1 '09. I think we are well in '09 with a 190,000 capacity. But to be honest, I don't know what the average output is going to be for 2008 but the number is going to be between 140,000 and a 190,000. So it's going to have to be... it depends on when the debottlenecking takes effect. We are also working on the launch of the Ford car in the same plant that we need o be careful to respect the commitments that we have made for our partner Ford, in terms of that assets. So we'll see but I think that... And the other thing that we need to be very careful about is the properly managing this car in the market because of the uniqueness of the product and the fact that we want to retain a higher margin other businesses as possibly, as we possibly can. The third question you raised in terms of guidance, it's true that if you add, if you replicate Q3 we'll end up with €2.9 billion to €3 billion. This house since at least we have been here, has taken a very prudent view of forecast. I think that we continue to... we will continue to take that approach. I think that we need to see what Q3 what Q4 delivers. We are sitting up on pretty strong industry dynamics in general CNH ex construction business in the U.S. The car side in Europe I think continues to be a very competitive market as I have mentioned. But I agree with you, we are going to continue to perform well in Q4. And Iveco should have a decent year with a strong fourth quarter and maybe the number would be in a substance, we indicated, so I think we need to see where we are at the end of December. I think we will be, cost side, I think we need to maintain the same type of cost that has gave us thus far in terms of making earnings forecast the commitment we delivered.
Adam Jonas - Morgan Stanley & Co. International Ltd.: Okay. Thanks.
Operator: Thank you. We will take our next question from Arndt Ellinghorst of Credit Suisse. Please go ahead sir.
Arndt Ellinghorst - Credit Suisse: Good afternoon everybody. Just a very quick follow up on the share buyback if I may. I missed much of that unit. I understand that you are not giving any indication of where you buying particular on stock, but if I understood you correctly previously this year you mentioned that you want to execute the share buyback until the end of this year. Could you please clarify on the timing at least of the buybacks? Thank you. Hello?
Sergio Marchionne - Chief Executive Officer: Yes I was trying to get some details on the legal issues surrounding the buyback.
Arndt Ellinghorst - Credit Suisse: Okay.
Sergio Marchionne - Chief Executive Officer: I think our indication has been that we will conclude the operation by the end of this year. By this data we intend to... we'll execute the buyback can be renewed. So in all likelihood we will extend it into 2008 since we have the legal authority to do it.
Arndt Ellinghorst - Credit Suisse: Okay. Thank you.
Operator: Thank you. We will take our next question from Monica Bosio of Banco EMI [ph]. Please go ahead.
Unidentified Analyst: Good afternoon everyone. I would ask two questions. One the first is related to a deal. I understand that you see... you can see a positive trend in Brazil more or less in line with 2007 for 2008. I was wondering if you please, how is the competition in Brazil and if you believe that your market share could be sustainable also in 2008 as far as passenger car is concerned. And the second question is related is to Bravo. Is it possible to know the cost of the marketing on the dealer network outside Italy?
Sergio Marchionne - Chief Executive Officer: I'll give you the amount. I think we'll give you the amount that we made. I think we are talking about a 900 to 1 billion number on network development between... in the period up to 2007 but significant amount of money and reflects the selection that we are making both in terms of human resources and catalogs as we have a viable network outside of Italy. The number that I made reference also includes... also includes the Italian number but obviously it reflects much stronger commitment, for the development of the business outside of our main trading line. The other issue that you raised in terms of the strengths of the Brazilian market, I mean I was there, probably four five weeks ago, and we would be back here in the market in a couple of weak site. Our indication is that '07 is a strong year, '08 is actually going to show in absolute numbers an improvement over '07. And it will be coupled with a massive share retention that we have. So I think that we're looking at a good year at '08 and I don't think we're concerned about the market share especially in a market which is going up and strongly as Brazilian market is growing.
Unidentified Analyst: Okay, thanks.
Sergio Marchionne - Chief Executive Officer: You are welcome.
Operator: Thank you. We'll take our next question from John Buckland of MS Global. Please go ahead sir.
John Buckland - Man Securities: Good afternoon and thanks very much. I just got to talk about the importance of the Italian market. You said you're not expecting in terms to be renewed. But you also said you thought it would be strong enough to deal with a decline. And does that imply then you will have to increase market share significantly to meet your numbers? And that's the first question. And secondly and then last quarter you talked about, you weren't happy with development after May, in terms of they aren't quick enough. And I wonder if you could tell us that you've actually improved a much part of your... where you are confident in Italy. And then the third one is on the Bravo can you just be a bit more specific about what you changed on it? I don't think you had the right engine. Then what have you done with these new engines with high horsepower or more diesel less gasoline, exactly you know what is it that specifically gives you the confidence and now that customers in and outside in delivering will want to buy this car?
Sergio Marchionne - Chief Executive Officer: Let me be on the last question first. I mean I think there's 120,000 number projection for the Bravo is given the fact that C-segment is the single largest segment of the European market and with reconcile with 3 million vehicles. It's the ability to try and achieve 120,000 number and that size of market is not... is in by any stretch of the imagination a realistic target. I make reference to the fact that I think our efforts in terms of making available the right engine available for the model, and you need to deal with particular market coverages by competitors in that horsepower segment. And the car that I have made in the reference is particularly the slide above the 120 to 150 horsepower engine becoming available in Q3 '07 are indicative of less positioning the car in the right place, and the metrics of engine offerings in the C -segment. But it's certainly a large portion of a market which we are not able to cover with engines that were introduced in the early part of 2007. Having said this I mean the question about what makes us comfortable the success of, in car that we launched as we... function how well we market the product. We are confident with two things. One is the product itself today is the quality levels which are at or above the competitive levels in Europe. And secondly that there is efficient appeal both in the brand and the vehicle itself have to placed properly in the marketplace. I think we need to allow our market guys to continue to work that. They have done and we will see hopefully the results within the first six months in the next quarter and the first quarter of 2008. In terms of the driving market share, I think we've been very open about the fact that we expect to grow market share in the Italian market through 2010. I made reference to the fact that overall between now and then we should get to a 35% market share from volume brands that obviously will hinge in our ability to offer additional models which extend the coverage of these brands today. We do have some significant product launches in 2008, which are planned for... planning for full launch. And it continues to be a significant rejuvenation of the model offering inside the Fiat brand, including the launch of the new... where re-expanding of the Croma in the latter part of this year. So the question is to what number we are targeting for '08, is now we're probably not willing to answer other than the fact of our timely finish with this exercise. We need to own roughly 35% of the Italian market. The comment we made earlier of our permit with things to deviation for me. I think that we have done good work in UK and we have now done, and beginning to do some decent work in Germany in terms of a reposition of the brand. I think all of these need to be coupled with a successful rejuvenation of the product offering that we have on Alfa which is going to begin with the introduction of the Junior or the B-segment car in Q2 of 2008. And so I... probably Q2 or Q3. I think that the real... this is going to require a lot of diligent, meticulous force in terms of the establishment of the brand because of the fact that I made reference during my earlier comments on the Q2 conference call that we have comparative framework of this brand as being said by the German car brand. And they have obviously a much longer time to position the brand and the credibility in the area of significantly higher than ours. So we continue to... it's the hardest asset that we have, that we have to work. It is the one that if we have successful positioning is probably going to give us the biggest benefit from a margin standpoint. But it continues to be an area that it's being aggressively by the group. I think we just started the exercise, but I think we need to see the full range and the full rollout for the program up to 2010 to see some realistic results from the repositioning. The 300,000 product target that we have by 2010 is doable but only if we execute flawlessly on the plan that we have ahead.
John Buckland - Man Securities: Thank you very much. Just on your state and about Fiat challenge. Are you saying 60-65, are you saying you will meet your new target, whatever they are, independently? And therefore you like, there's not compromise needed to help you out.
Sergio Marchionne - Chief Executive Officer: Let me give you the... my view as the President of Fiat. I think that we have been absolutely clear with the commission. The reposition that is being applied for the car industry as a result of the establishment for 130 grams by 2012. This is something which the industry in and by itself given its main company structure is incapable of delivering. It is certainly undesirable to impose these limits on the car industry because that will cause distortions in terms of the industrial development businesses and the commitments they were going to be making to some level of technology which will need neither be optimal nor may be... nor would it be the most efficient way to bring about a reduction in CO2. Well that's... there is the industry view we continue to work with Brussels to find and bring about a more reasonable approach to this. We have made reference probably to the fact that the Japanese example of having 137 by 2015 is realistic target, a good process to try and emulate because it certainly is in support of the development of the car industry in Japan which is a significant part of the account. Then if I can just go back in our connective back up of the Fiat's story a little more. We have needed commitment probably by this 2012. We will have the fleet of cars which will exhibit the lowest level on a weighted average basis of fuel to emissions to kilometers of any European car manufacturer. What is implicit in that statement is the fact that... to the extent that we are... that we are going to be able to meet the target whatever the final negotiated target will be between us and Brussels because we will have no choice one. But secondly because of the commitments that we have made alternative strategies in terms of bringing down CO2, CO2 emissions, the commitment to CNG and improving the introduction of staffers that measures only vehicles, improving the downsizing of engines in the application of several car structures, all of these are designed to deliver a pool of engines that will deliver lowest weighted average fuel to emission per kilometer in European car manufacturer.
John Buckland - Man Securities: Right. Thank you.
Sergio Marchionne - Chief Executive Officer: And so I am not trying to avoid your question as to whether I can meet the established rules. For that we are certainly in conflict that what we said we would be under any circumstances. The interest of this industry and my interest is probably the same to ensure that we maintain the diversity of car producers that we have in Europe and that there are no measures with are brought about which are going to be dysfunctional with the development of this industry going forward.
John Buckland - Man Securities: Thank you.
Operator: Thank you. We'll take our next question from Andrew Lobbenberg of ABN Amro. Please go ahead.
Andrew Lobbenberg - ABN Amro: Hi there. Just a quick one. At the last conference call you spoke about addressing Iveco and its opportunities in the U.S. or moving it into the U.S. What are your thoughts on that in particular given you have the progress of the U.S. economy?
Sergio Marchionne - Chief Executive Officer: Well I mean '08... '07 has been a disastrous year for car manufacturers in the U.S., but it's followed the introduction of new emission standards in '06 which are really and fully predictable. I mean this is a fully cyclical business in the U.S. And so '07 is not expected to grow up with a bang. Having said this, I think our commitment to this, to the truck industry and the development of the Iveco brand in the U.S. continues unabated. And I think that we will come to a resolution of the manner that we will follow to enter the U.S. market. And I think the more I look at that market the more I realize that perhaps Fiat Group as a whole has better strength by including their market alone, rather than through acquisitions. We are looking at seasonality, it is premature for me to give you a final view. But I feel comfortable we probably have the engine makeup and the ability to design products that are fairly consistent with the remains of the U.S. market. The answer is, we are also hinged on the ability and speed with which we'll be able to localize production in the U.S. market. It's something that we are looking at right now. It is certainly something that we could bridge in terms of European production for a period of time. But also in order to be successful in the U.S. market we must be able to produce both engine and the vehicles in the U.S. that will deal with the local market requirement. We'll have a view hopefully by the end of Q1 of '08 as to what the right approach is for the Fiat Group going forward.
Andrew Lobbenberg - ABN Amro: Okay. Thank you.
Operator: Thank you. We'll take our next question from Thierry Huon of Exane BNP Paribas. Please go ahead.
Thierry Huon - Exane BNP Paribas: Hi. Good evening, it's Terry speaking.
Sergio Marchionne - Chief Executive Officer: I lost you. Operator?
Thierry Huon - Exane BNP Paribas: It should be less than the double of the one we had in Q4 '06, when we had this double or at least of what we had in '06 for all the other quarters. Does that mean that you expect margin of CNH to simplify the...?
Sergio Marchionne - Chief Executive Officer: Terry, you got to stop here. For whatever reason 90% of what you said was still and I heard nothing, so can you repeat the question once more?
Thierry Huon - Exane BNP Paribas: Okay. If you look at page 18 of the presentation you provide quarterly basic earnings of CNH and the inside Q4 earnings as we make the some of the first three quarters minus the guidance for the full year, it comes something like they were 40, 42 EPS. So it's roughly in line with the one we had in Q4 '06 when for the previous one we had at least the double of what we had in '06. So I am just wondering if do you expect stabilizing of the market in Q4?
Sergio Marchionne - Chief Executive Officer: I expect to provide earnings in line with guidance that we provided. The problem we have with us Thierry, there is no doubt there for the CNH, we made the commitment to 260, must be absolutely comfortable that we can deliver the number.
Thierry Huon - Exane BNP Paribas: Okay.
Sergio Marchionne - Chief Executive Officer: And I'll leave you to draw whatever other conclusions that you're supporting 260 as a number that we'll die by. Take care of the lowest stock of the level of what you need for the business.
Thierry Huon - Exane BNP Paribas: Okay. That's good, thanks.
Sergio Marchionne - Chief Executive Officer: You're welcome.
Operator: Thank you. Our final question today comes from Philippe Houchois of JP Morgan. Please go ahead.
Philippe Houchois - JP Morgan Securities: Good afternoon. I'm Phillippe from JP Morgan. First call that I have is you seem to say caused fair amount of confusion with your comments on the buyback. I mean your stock right now, 5%, [indiscernible] for the words of your comments on the buyback. First question is would you just clarify what you mean by buyback will be completed by end of the year? It would a bit more on this, it would be very helpful. Second question is about the announcement of extension of capacity of the 500 which is very welcome. Just want to make sure that when it is still in the Polish plants and two that not necessarily coming at the expense of under volume which has been amazingly over a billion, that will be helpful. And the last comment would be, in context of what you said about CO2 etcetera and do you think there's an opportunity for you as a group, Fiat Group to object all those to discuss opportunity with other family cars to monetize your small car expertise with other western car makers, and do you think that's an asset for Fiat out to stay and beyond what you're doing with Ford and other cars.
Sergio Marchionne - Chief Executive Officer: The answer to your last question is absolutely yes. We do consider it to be strategic as per the group which is potentially available while the car manufactures in Europe declining CO2 emissions, right? I have been public on this. I think that my colleagues the other fuel car companies in Europe are fully aware. But we are capable of this and they form the basis for additional alliances going forward. But we'll announce it at the proper time. The issue on the buyback I am trying to give you my understanding of it. Let's go back to square one. We want to initiate a buyback program which as I understand got a maximum capacity of €1.4 billion. Under the rule this program is going to expire in December 31st, 2007.
Philippe Houchois - JP Morgan Securities: If I lost the connection here or?
Sergio Marchionne - Chief Executive Officer: Just a moment, we're checking on it.
Philippe Houchois - JP Morgan Securities: Okay, all right.
Sergio Marchionne - Chief Executive Officer: Okay, the program is technically expired in December 31st, 2007. It can be renewed for up to 18 months from the time that it was first decided upon, which means that it's potentially extendable or into the majority of 2008, am I right? So we just have to renew the program on or before December 31st 2007 to make it available for us to execute on it in 2008. Is that clear?
Philippe Houchois - JP Morgan Securities: It is clearly. To me, I mean you speak English better than me but when you're completing the share buyback we will be completing the €1.4 billion by the end of the year which is not the case.
Sergio Marchionne - Chief Executive Officer: No, but to be perfectly honest I think that we got a authority to buyback up to €1.4 billion. I think I have always been clear that the buyback program was always subject to our determination that the acquisition price of these shares were going to be valued previous year. And therefore the manner, the methods, the strike price on the buyback program was going to be totally within the discretion of Fiat and the factor, the share price never reflects condition that we consider to be value accretive to us that we had no obligation for us to secure in that buyback. But do not take the €1.4 billion as being a mandatory executable buyback number. It is the authority that we received that we can buy back up to but it is not nothing that it's to be delivered.
Philippe Houchois - JP Morgan Securities: NowI think I understand your message.
Sergio Marchionne - Chief Executive Officer: Am I making clear?
Philippe Houchois - JP Morgan Securities: Yes, I am okay, clear about the value accretion. Okay. Last question then if you can clarify about the specific expansion that 500?
Sergio Marchionne - Chief Executive Officer: Sorry.I missed that question when I was trying to give the repeat from the simple program.
Philippe Houchois - JP Morgan Securities: I think you... somewhat you have announced that you're going to raise capacity on 500 to 190,000 units per annum,
Sergio Marchionne - Chief Executive Officer: That starting available Jan 1, '09.
Philippe Houchois - JP Morgan Securities: Okay. And that's I assuming still in the Polish plant, you're not looking at creating second site for the?
Sergio Marchionne - Chief Executive Officer: That's correct.
Philippe Houchois - JP Morgan Securities: Okay. Do you think that is that volume is going to come in the expense of the Panda or you able to expand the capacity of on Fishing [ph]?
Sergio Marchionne - Chief Executive Officer: I think that we are going to be able to apply debottlenecking investment for the existing infrastructure to deliver both that volumes required for the Punda, the Ford car and of Fiat Maserati.
Philippe Houchois - JP Morgan Securities: Okay. That's great. Thank you very much.
Sergio Marchionne - Chief Executive Officer: Thanks.
Operator: I would like to turn the call back over to you sir for any additional or closing remarks. Thank you.
Sergio Marchionne - Chief Executive Officer: Yes there is one more question operator that I see on the chart here. Gentleman from Goldman Sachs.
Operator: Thank you sir. We will take this question from Stephen Friedman [ph] of Goldman Sachs. Please go ahead.
Unidentified Analyst: Hi there. First just to follow on to this debate on the share buyback and what you are saying and what you are meaning. Am I right to conclude that you are not saying that you consider your share over value? Am I right to conclude that you are saying that the share buyback is not accretive to the earnings per share?
Sergio Marchionne - Chief Executive Officer: WhatI am saying, let's go back to it for a moment. We need to clarify because sometimes it's going to create a lot of confusion. We have authority to buy back up to €1.4 billion in our own shares and therefore it expires December 31st 2007. It is renewable for 18 months from leaving, the original authority was given therefore it will run well into 2008. The division on how we buyback these shares. What's strike price, the timing of our entering into the market is something which we do not discuss. Because on this issue we are buyers of our own securities and therefore it will be incredibly stupid on our part to try and advertise a purchase strategy which is going to meet with the particular strategy on behalf of the seller which may or may not be representing. And therefore on this issue it's quite brushing our lack of clarity. I think you will be unwise if you have to exercise full disclosure on this issue and tell you when and how we'll be buying back and in what level. We don't do that. I have never done this in my life, it's not the first time, the share buyback have carried then. The issue about when we execute on the share buyback is dependent on a variety of conditions including our assessment. As to what the share price will be in the future based on what we understand to be the earnings capability of the size and cash flow generation. It continues on a whole variety of reasons and including those and including where the share price of Fiat is, in any one point in time. And we will execute on this without advertising the event. We will do this and disclose the acquisition, post acquisition but we will not disclose it pre-acquisition. We can't do this. Remedy you need to know fundamentally is that this house is ready to buyback up to €1.4 billion of stock. On conditions that is trying to be accretive to Fiat and some facts which may be reflected in the share price and maybe reflected as our understanding of where our future will be. It's reflected on the whole part of thing, but it's our assessment and we can't be guided by the market, to be properly honest. It will be trading our own... against our own interest and we cannot do this.
Unidentified Analyst: Okay.
Sergio Marchionne - Chief Executive Officer: The capacity is to do it; the ability to execute it legally is there, manner, timing and the pricing of the intervention as I did in the discussion of Fiat.
Unidentified Analyst: Okay. Thanks.
Sergio Marchionne - Chief Executive Officer: Thank you.
Operator: Thank you sir. I would like to turn the call back over to Mr. Marchionne for any additional or closing remarks.
Sergio Marchionne - Chief Executive Officer: I have no additional or closing remarks. So I'll pass it on to Mr. Auriemma.
Marco Auriemma - Vice President of Investor Relations: Thank you very much and I thank you all for participating in the call. Feel free to call us for any follow-up questions. Bye.
Operator: Thank you ladies and gentlemen. That will conclude today's conference call. Thank you for your participation and have a good day.